Operator: Ladies and gentlemen, thank you for standing by and welcome to the Kaman Corporation Q2 2022 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to your host, Kary Bare. You may begin.
Kary Bare: Good morning. Welcome to Kaman's second quarter 2022 earnings call. Leading the call today are Ian Walsh, Chairman, President and Chief Executive Officer; and Jamie Coogan, Senior Vice President and Chief Financial Officer. Before we begin, please note that some of the information discussed during today's call will consist of forward-looking statements setting forth our current expectations with respect to the future of our business, the economy and other future events. These include projections of revenue, earnings and other financial items, statements on plans and objectives of the company or its management, statements of future economic performance and assumptions underlying these statements regarding the company and its business. The company's actual results could differ materially from those indicated in any forward-looking statements due to many factors. The most important of which are described in the company's latest filings with the Securities and Exchange Commission, including the company's second quarter 2022 results included on Form 10-Q and the current report on Form 8-K, filed yesterday evening together with our earnings release. We also expect to discuss certain financial measures and information that are non-GAAP measures, as defined in applicable SEC rules and regulations. Reconciliations to the company's GAAP measures are included in the earnings release filed with yesterday's 8-K. Finally, we posted an earnings call supplement on our website, which provides additional context on our financial performance. You can find this presentation at www.kaman.com/investors/quarterly-earnings-calls. Now I will turn the call over to Ian Walsh.
Ian Walsh: Thank you, Kary. Good morning, everyone, and thank you for joining us for our second quarter 2022 earnings call. I'll start by providing highlights on the quarter and then share some operational and business updates, along with some respective innovations in each segment before passing the call over to Jamie for more detailed discussion of our financial results and outlook for the remainder of the year. Results for the second quarter were in line with our expectations with sales, earnings, and adjusted EBITDA higher than the last quarter, but lower than the second quarter of 2021. We continue to expect stronger sales and margins in the second half of the year. Gross margin for the company decreased slightly to 32.4%, 160 basis points lower than the second quarter of 2021. Compared to both periods, JPF sales and associated gross profit were lower, while sales and margins improved for our Engineered Products segment. Since joining Kaman, I've worked with the Board and our new leadership team on positioning our company for organic and inorganic growth in our highly engineered and precision parts businesses and improve profitability across all our businesses, with the goal of achieving top quartile performance in the markets we serve over time. In May, we were extremely excited to announce that Kaman signed a definitive agreement to acquire the Parker-Hannifin Aircraft Wheel & Brake division. This transaction, which is expected to close before the end of the year, offers a unique opportunity to expand our highly engineered product portfolio by investing in a high-margin quality asset with potential for growth. For more than 80 years, Aircraft Wheel & Brake has been a trusted provider of mission critical wheel and brake technology products and solutions. They have a strong OEM and aftermarket portfolio of more than 100 platforms, specializing in wheels, brakes, and related hydraulic components for helicopters, fixed-wing, and UAV aircraft. They have an install base of approximately 450,000 aircraft, globally serviced by distribution and long-standing global relationships with leading defense and general aviation customers. They provide customized proprietary designs protected by intellectual property. Aircraft Wheel & Break operates out of one centralized facility in Avon, Ohio, providing a full suite of capabilities including design, development and qualification, as well as manufacturing, assembly, product support and repairs. The complementary strength of Aircraft Wheel & Break will advance our strategy by expanding the breadth of our product offerings, increasing our exposure to attractive high margin aftermarket products and driving meaningful near-term margin and cash flow accretion. Now let me return to our business discussion. Demand across the commercial business and general aviation market continues to show signs of improvement through additional orders for our bearings, springs, seals, and contacts products. Sales to Boeing, Airbus were higher for the fourth quarter in a row, a solid indicator that airline demand is indeed rebounding. These increases support the higher sales and improved margins we anticipate over the balance of the year. I'd like to highlight the performance of each segment and also share some of their respective innovations that will continue to help us grow organically. Our Engineered Products segment delivered outstanding results with both sequential and year-over-year sales, adjusted EBITDA, and margin growth. Quarterly sales increased by more than 10% and adjusted EBITDA increased more than 25% compared to both periods. Not only was medical and industrial demand strong, but sales of commercial bearings also improved. Order rates for these products remain very robust. Backlog has increased 33% since year-end to $225 million. In addition, we are well positioned to meet our sales target in the second half of 2022 as a significant portion of our expected sales volume is already in backlog. These trends provide confidence for our expected performance in the back half of the year. Our employees continue to provide innovative solutions that push the boundaries of application engineering and material science to meet the needs of our customers. One such technology in our Engineered Products segment is an opportunity to expand into medical devices for vascular circulation. We are developing a solution for high RPM pumps used in blood circulation. This solution provides superior quality for a minimally invasive option that can be used directly in the heart, while allowing doctors to reduce surgical time and have more flexibility during procedures. We are working with our customer, as they move through the certification process and anticipate commercial readiness in 2024 to 2025. In addition, our Engineered Products team has built a great relationship with Gulfstream over the years, providing bearings for their G650 and G700. Their family of business jets is expanding into the G800 and G400 and will be using the same landing gear, wing, and fuselage which will provide a step up in bearing sales beginning in 2023. Additionally, we've been working with Gulfstream on a new bumper design to replace the current bronze bumper in their wing, which could be used to retrofit their entire fleet. Our Precision Products segment continues to transform as we pivot to new technologies and markets. Sales and margin in the first half of 2022 for this segment were low compared to the prior year. However, we do expect to meet plan for the full year. In the near term, we continue to pursue JPF opportunities where DCS orders that are expected to increase our backlog and extend the life of the program. Longer term, we anticipate offsetting the reduced volume with organic growth in other areas of our business. We are excited about the opportunity we have to expand autonomous technology in this segment with our purpose-built KARGO UAV unmanned aerial system and K-MAX TITAN optionally piloted aerial system. In June, we announced an equity investment of $10 million in Near Earth Autonomy, which will accelerate the development of our autonomous technology and help to establish an industry standard in autonomous cargo solutions for the next generation of aviation. We've been working with Near Earth for several years and are excited to be part of a growing autonomy market. This partnership also leverages Kaman's core competency in precision parts manufacturing as we are now the preferred manufacturer of autonomous parts and components for Near Earth. We are on track for a demonstration of a full scale KARGO UAV unmanned aerial system later this year. Our initial addressable market is fully autonomous medium lift vehicle with the US military and Special Operations Commands, along with a wide range of commercial applications such as servicing oil platforms, search and rescue, humanitarian relief and middle mile delivery for logistics companies. Our Structures segment continues to focus on strengthening operating margins and seeking new, more profitable programs that fit our core capabilities. Sales in the first half of 2022 were low compared to the prior year. However, we do expect both higher sales and margins for the remainder of the year. We continue to see positive signs of operational improvement at each of our structure sites, while taking the necessary cost out measures to right-size those businesses. For example, we are continuing to make progress in our facilities consolidation plant at Jacksonville and just recently signed a definitive agreement to sell our Mexico facility, lowering the operating cost, while moving the volume back to our Jacksonville sites. In addition, we continue to see improved performance from our Vermont facility. During the quarter, the team successfully applied lean tools and process improvements to several product lines, including medical imaging panels used in equipment at cancer treatment facilities, resulting in 1,500 basis point improvement in gross margin. We are also focusing on winning new profitable business. Recently, Gulfstream recognized Kaman for our quality and manufacturing performance of parts to the G700 engine, which is driving more opportunities with Rolls-Royce. I am pleased with the progress we have made in all our businesses with safety, quality, delivery, and cost out. This is a multi-year journey and there is still significant progress to be made as we continue to focus on customers' needs, our operations, our supply chain and the communities in which we serve. None of this would be possible without relentless focus of our leadership teams and employees around the world on implementing our operations excellence model, designed to deliver improved operational performance and gross margin expansion. Looking ahead, we feel confident that the return of the commercial aerospace market and the durable demand in aviation, medical and industrial markets will benefit our high margin engineered products segment. Precision Products will continue to transform and our Structures segment will continue to see the benefits of our operations excellence model and the addition of new, more profitable programs. We are also enthusiastic for several of our new innovations as we position the company for best-in-class performance. Lastly, we remain disciplined in our approach to M&A and capital allocation. We are very excited about the strategic investment in Aircraft Wheel & Brake and look forward to closing with Parker and integration of their high performance team with Kaman. We will continue to identify and assess strategic opportunities that provide the highest return for our shareholders. Now I will turn the call over to Jamie for a more detailed discussion of our financial results.
James Coogan: Thank you, Ian, and good morning, everyone. Today I will discuss our second quarter results and provide an update on our outlook for the year. On a consolidated basis, our net sales in the second quarter were $161 million, compared to $158 million in the first quarter of 2022 and $182 million in the second quarter of 2021. The decline of 12% year-over-year was largely due to lower sales for our JPF program. This was partially offset by increased sales in the commercial and medical markets for our bearings, springs, seals, and contacts. Adjusted EBITDA in the second quarter was $16.4 million or a margin of 10.2% compared to $12.2 million or a margin of 7.7% in the first quarter of 2022. Improved results were driven by higher volumes of our bearings, strong sales and margins of our springs, seals, and contacts into medical and industrial markets and increased sales of engine aftermarket components in our Engineered Products segment. Additionally, we saw a benefit from our K-MAX spares and support program in our Precision Products segment. This was partially offset by lower sales and associated gross profit on our fuze programs during the period. For the year-over-year comparison, adjusted EBITDA decreased 39% and margin declined 460 basis points. The decrease resulted primarily from lower JPF sales as the second quarter of 2021 had a much higher volume. Robust sales in the second quarter of 2022 for our bearings, springs, seals, and contacts into commercial aviation and medical markets helped to partially offset these declines. Now I'd like to walk through each of our segments, beginning with Engineered Products. Compared to the first quarter, volumes increased in the second quarter for bearings products, serving commercial and military aviation, as well as medical and industrial end markets. Both sales and margin increased for seals, springs, and contacts used in medical products. And sales and margin increased as well for our engine aftermarket products. Adjusted EBITDA for the second quarter increased 25% to $21.6 million with a margin of 24.1%, a 290 basis point increase sequentially. Year-over-year results improved significantly as well with higher demand in medical and industrial end markets. Adjusted EBITDA increased more than 30% and margin increased 340 basis point. Sales improved primarily on bearing products serving commercial aviation, as we continue to see a nice recovery in this end market. Additionally, sales and gross profit improved on seals, springs, and contacts for medical and industrial application and sales were higher for our engine aftermarket parts. The demand for our seals, springs, and contacts, as well as for our bearings products has continued to improve. Looking ahead, we expect continued strength in these markets for the remainder of 2022. Order intake during the quarter was robust with a backlog increase of 33% since the beginning of the year. Based upon the developments we are seeing in order rates in our Engineered Products segment, we remain confident in our outlook for the full year for the underlying business as a significant portion of our second half sales are already in backlog. Now moving to our Precision Products segment. Compared to the first quarter, results decreased in the second quarter due to lower sales and associated gross profit for our fuze programs. This was partially offset by an increase in sales and margin for K-MAX spares and support, as well as for our SH-2 program. Adjusted EBITDA for the second quarter was $3.6 million, with a margin of 8.7%. Year-over-year results for this segment declined significantly from an adjusted EBITDA of $20.5 million and margin of 28.6% in the second quarter of 2021, primarily due to lower JPF sales and associated gross profit as the second quarter of 2021 had a much larger volume. The contribution from JPF will be lower in 2022. However, we do expect to deliver 25,000 to 30,000 fuze’s this year. Based upon the timing of deliveries, we expect the remainder of the year to be concentrated in the third quarter of 2022, which includes an $11 million DCS sale, previously anticipated in the second quarter of 2022. We are managing our current JPF backlog and looking to secure additional DCS orders in the near term. We also continue to make progress in R&D efforts with our patented height of burst sensors and we are developing new sensor and fuzing technologies for our existing family of safe and arm devices. Now moving to our third segment, Structures. Compared to the first quarter, our results were relatively unchanged. Our ability to maintain production rates at one of our sites was impacted by a fire at one of our suppliers in the second quarter of 2022. Additionally, volumes were lower with the wind down of the AH-1Z program. These losses were mostly offset by higher medical imaging sales and margin. Adjusted EBITDA for the second quarter was $57,000 with a margin of 0.2%. Year-over-year results improved from an adjusted EBITDA loss of $0.7 million and a margin loss of 2.1%, mostly due to higher sales on our Rolls Royce and imaging program. This was partially offset by the disruption of incoming material from the fire at one of our suppliers in the second quarter of this year. We believe that we will be able to recover some of the lost opportunity from the quarter and expect higher sales and margin in the second half of the year. We're continuing to see improvements for our Structures segment as our team applies our operations excellence model. Specifically, our Vermont facility is currently performing above our long-term targets for our Structures segment. Over time, the financial performance for this segment is expected to improve as we continue to apply the best practices from our Vermont facility. SG&A increased $530,000 compared to the second quarter of 2021 to $39.3 million or 24% of net sales. As a result, the corporate development cost associated with the acquisition of Aircraft Wheel & Brake. When adjusted for these costs, SG&A decreased as we continue to manage cost and seek opportunities to increase efficiencies across the organization. Diluted earnings per share were $0.14 for the quarter, which was equivalent to the first quarter of 2022 and lower than the $0.42 in the second quarter of 2021. On an adjusted basis, diluted earnings per share were $0.31 compared to $0.15 in the first quarter of the year. For the first six months, adjusted diluted earnings per share decreased from $0.85 per share in 2021 to $0.46 per share. The decline from the first six months of 2021 was primarily within our Precision Products segment, with an impact from JPF of $0.53 per share and increased R&D spend for this segment of $0.09 per share. These reductions were partially offset by strong performance from the Engineered Products segment, which resulted in an increase of $0.36 per share. During the quarter, we had cash usage from operations of $26 million. However, over the last 12 months, we've generated free cash flow of $17 million. We expect the second half of the year to be a period of strong cash generation allowing us to achieve our plan of free cash flow of $40 million to $50 million for 2022. Now I'd like to discuss our outlook for 2022. We continue to expect the cadence of earnings to be weighted towards the second half of the year. Our results for the second quarter were in line with our expectations with lower sales and margin for our JPF programs, partially offset with strong sales into medical and industrial end markets and improved performance in commercial, business, and general aviation. Based upon the impact from the material shortage caused by the fire at one of our suppliers, lower than expected order rates in our Structures segment and current pressure from foreign exchange rate, we are revising our sales outlook downward to a range of $700 million to $715 million for the full year, which also assumes the sale of three additional K-MAX aircraft in the year. Given the favorable sales mix and the strength we have seen in our Engineered Products segment, we remain on target to meet our guidance for earnings, EBITDA, and free cash flow for 2022, excluding the expected benefit from the acquisition of Parker-Hannifin Aircraft Wheel & Brake business. With that, I'll now turn the call back over to Ian for closing remarks.
Ian Walsh: Thank you, Jamie. Kaman has a solid strategy for profitable growth and is well positioned to achieve top quartile performance in each of our segment over time. In addition to the Aircraft Wheel & brake acquisition, we continue to invest in our products and talent and focused on winning more profitable programs. These investments in conjunction with the opportunity to develop our autonomous technology with Near Earth will advance Kaman's position as a technology differentiated leader in our aerospace, defense, industrial, and medical markets. I'd like to close by reminding our audience of our overarching company strategy which focuses on three strategic pillars. First, we will grow our business through innovation, accelerating investments in our products, facilities, and people. Second, we will continue to be disciplined in our approach to accretive M&A and capital allocation. Third, we will continue driving operations excellence across all our businesses until we are best-in-class. Executing on this strategy will lead us to top quartile financial performance in our segments. All are aimed at improving EBITDA margin, free cash flow conversion, and return on invested capital that lead to exceptional shareholder returns. I'd like to thank all of our dedicated and talented employees around the world who are working hard to meet our goals, enabling our customers to achieve greater in all that they do every day. With that, I'd like to open the line for questions. Operator, can we have our first question, please?
Operator: [Operator Instructions] Our first question comes from Larry Solow with CJS Securities. Your line is open.
Larry Solow: Great, thanks. Good morning, guys and gals, thanks for taking the questions. I guess just to confirm sort of some -- the guidance or the quarter itself, it sounds like it was basically in line. I know you don't guide for quarter, but it was basically in line with your expectations, a little bit of a shift on a small order on the JPF and then obviously the fire and stuff hurt you a little bit in Structures, too. But outside of those couple of things, it seems like relatively in line with your expectations. Just a little bit below my numbers and a couple of other guys on the Street, but is that pretty much correct?
Ian Walsh: Yeah. Hey, Larry, this is Ian. Yes, you're absolutely correct. We are effectively working to our plan and unplan. The only shift that occurred was the timing of the JPF. And we've got those builds done. We got the boat schedule set. We know exactly when they're going out, just shifted from Q2 to Q3. Little FX headwind and then we did have a fire back in March that has caused delays in some of our structures delivery. So that's why we got the shift in sales.
Larry Solow: Okay, great. And then pretty encouraging to see Engineered Products margin continue to rise nicely sequentially and year-over-year on the higher sales. Could you take a step back and maybe just your thoughts on -- I know like pre-COVID these margins in this segment were -- EBITDA -- on an EBITDA basis were in the high 20s. You thoughts on sort of getting back to that number without an exact time line, but -- and then maybe hopefully in the next couple of years and then obviously, as you layer in Parker-Hannifin's Wheel and Brake business, perhaps you can even push 30% in that segment. Is that -- again, not a timeline, but is that something that is achievable on your horizon?
Ian Walsh: It is and we are highly confident that if you look at the components, the businesses that are in the Engineered Products business, historically, exceptionally strong performance. Now even add that, COVID like a lot of businesses forced us to really take a hard look at our cost structure, fixed and variable costs. So we've really gotten those costs down as a function of COVID in maintaining that lower cost structure, watching the markets recover, looking at that drop through, which is exceptionally strong. So, to your point, yes, we feel very confident that we will be back up at those high 20s, low 30s levels of performance. And I'll just -- a shout out to our future partners here at Aircraft Wheel & Brake. This is a business that also reflects that same level of performance. And that's not by accident. It happens because they know exactly what they're doing. These are highly designed parts with a really strong solid base and a high performance team. So really excited to add that team to that segment.
Larry Solow: Okay. And then just lastly on the KARGO UAV which I think you discussed briefly. Well, is there -- again, without specifics, but when could we expect some initial commercial sales? Is that like a late '23, '24 timeline. And then again, longer term potential of this product. Just looking at it seems like it certainly has a potential to deliver as many, if not maybe even a lot more. It seems like a much broader audience than the K-MAX. So I think that's delivered $750 million or something in sales over its lifetime. So it seems like the KARGO UAV has potential to be maybe exponentially higher than that. Is that a fair statement?
Ian Walsh: That's a fair statement. We are super excited about the demand signals that we're getting both on the military and on the commercial side for KARGO UAV. This market is exceptionally large on both sides. But on the commercial side, in terms of timing, it's hard to predict, but I can tell you from recent meetings with certain customers and some of the markets that we've talked about, there is a huge requirement/demand for that type of application, oil and gas being one in particular. So in terms of timing, yes, we would like to move as quickly as we can. We're anticipating probably in '23, and in ‘24 we're getting low rate production, '25 is when we would want to be fully operational with those type of [Technical Difficulty] both on the military and the commercial side.
Larry Solow: Got it. Okay, great. Thanks again. I appreciate it.
Ian Walsh: Yeah. Thanks, Larry.
Operator: Our next question comes from Steve Barger with KeyBanc Capital Markets. Your line is open.
Unidentified Participant: Hey, good morning, guys. This is Jacob on for Steve.
Ian Walsh: Hey, Jacob.
Unidentified Participant: Hey, my first question, just real quick on the JPF push out of that $11 million. Does that push the rest of the schedule further to the right or is that just add to the $11 million on top of 3Q's planned deliveries?
James Coogan: Yeah, that's exactly what it does. So it's additive to our expected third quarter performance. It doesn't shift our expectations for the full year. And again, with those fuzes Ian mentioned, those are built ready to go. As you know, JPF can be lumpy from quarter to quarter. But in this regard, this was just a shift out of the second into the third, about $11 million of sales. And these are DCS fuzes, so they come in at a little bit higher margin.
Unidentified Participant: Okay, great. Thanks. And then second, on the non-JPF backlog, it seems like a pretty nice step up there, particularly in Engineered Products. Just curious how far out that backlog stretches timeline-wise and would you say that's an elevated backlog or maybe better asked, what's an ideal backlog size look like for you?
Ian Walsh: So, the first part of that is, that segment has -- historically had very strong backlogs. We are now at a position where a lot of those businesses in that segment have record backlogs and extends all the way through the end of this year and already into next year. So, for example, 98%, 99% of our backlog is already set for this year. So we know exactly what we're going to be building for the remainder of the year. In terms of timeline levels, again, we're seeing exceptionally strong demand in all of those markets on the Engineered Products side, which is exciting for us.
James Coogan: Yeah. And just, again, if you remember, in that business, it's relatively short cycle. So although we will have some longer-term contracts that those orders are typically for delivery in those six to 12 month time frame. So it's not unusual for us to continue to build that backlog up and continue to see growth as that happens.
Unidentified Participant: Okay, got it. That makes sense. And then just my last question here, seeing some production rate increases little further out with Boeing and Airbus, that's obviously good for you guys from a pure volume standpoint, but do you think you're in a position to capture additional content there and do you have the capacity for something like that?
Ian Walsh: We do indeed. We've demonstrated that we are already taking more content just during the pandemic. The design cycle and certification process, as you know, is fairly long and intensive, but we've demonstrated that we can provide better quality, delivery, better technology. So we've taken some share during the COVID. We anticipate doing the same thing. Those build rates are climbing. The market is recovering. There is no question about it. So we're anticipating really strong growth.
James Coogan: Yeah. Just to add. With the strength of our balance sheet, specifically during the pandemic and downturn, we took the opportunity to make investments in those businesses and new sales, new manufacturing processes and new equipment to help us to be able to manage that capacity load.
Unidentified Participant: Okay, great. Thanks for taking the questions, guys.
Ian Walsh: Yeah, you got it. Thanks, Jacob.
Operator: [Operator Instructions] I'm not showing any further questions at this time. I'd like to turn the call back over to Kary Bare.
Kary Bare: Thank you. I do believe we have a few closing remarks here from Ian before we close the call.
Ian Walsh: Yeah. Just appreciate everybody's time. But just in terms of adding some clarity to our performance certainly, for Q2, which is in line with our expectations, but really focusing on the back half of the year. We are supremely confident in our ability to deliver in the back half of the year. As we just mentioned, our backlogs extent to the year, we know exactly what we're going to be building and when we need to deliver it. We've got material on hand or inside the proper lead times, which we know has always been moving, but supply chain teams and the ops teams are very confident that they've got all the right material to build, things that we need to build. We have the manpower. Outside of a few normal open racks and things like that, we are very well staffed to deliver on the production for this year and we also demonstrate that we know how to deliver in the second half of the year historically. So all of our segments are in strong place to get to that point for the second half of the year. Outside of recession and headwinds a little bit with the FX. Again, we're accounting for that. And we are super excited to be closing with our new friends at Aircraft Wheel & Brake here in the second half of the year. Really exciting business, perfectly situated for our type of environment and where we're trying to grow the business and things we're trying to do. So, overall, again for the second half of the year, we know we need to do. We're highly comfortable we will get there to deliver on that -- on those numbers.
Kary Bare: All right. Thank you everyone for joining the Kaman Corporation second quarter earnings call today. We're looking forward to talking with you in the fall on our third quarter call. And with that we are [Technical Difficulty] today. We're looking forward to talking to you --
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect and have a wonderful day.